Operator: Good afternoon, ladies and gentlemen. Welcome to Vista Gold’s First Quarter 2014 Results and Update on Recent Activities Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. As a reminder, this conference is being recorded today, Tuesday, May 06, 2013. It is now my pleasure to introduce Vista’s President and CEO and your host, Mr. Fred Earnest. Please go ahead, sir.
Fred Earnest: Thank you, Yana. Good afternoon ladies and gentlemen. Thank you for joining Vista Gold Corp’s 2014 first quarter financial results and second quarter 2014 project update conference call. I’m pleased to be joined on this call by Jack Engele, our Senior Vice President and CFO, and Connie Martinez, Director of Investor Relations, both of them are joining this call from our corporate office in Denver. Since our last call, we’ve taken steps to improve our balance sheet and pay off the remainder of our debt. We started the year rallying gold equities have come off a bit, but we continue to outperform our peers in the GDXJ, with our shares up 26% on the year compared to 19% for the GDXJ. World events lead us to a cautiously optimistic view of short term gold prices, with a much more optimistic view for significant improvement in gold prices in the long term. Nonetheless, we continue to be plan for a period of modest gold prices and have implemented significant cost reduction measures at our corporate office, and have taken steps to reduce the holding costs at our primary asset in Australia. I continue to believe that we are well positioned to weather this downturn in the gold sector and provide significant leverage for our shareholders as the markets improve. In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors which may cause the actual results, performance or results of Vista to be materially different from any future results, performance or achievements, expressed or implied by such statements. Please refer to our Form 10-Q for a detailed discussion of risks and other important factors that could cause actual results to differ materially and those in our forward-looking statements. I’ll now turn the time over to Jack Engele and following his discussion of the financial results, I will provide an update on the status of our projects.
Jack Engele: Thank you, Fred. Good afternoon everyone. I’ll start with our statement of income and loss for March 31, 2014. For the three months ended March 31, 2014, we reported a net loss of approximately $1.1 million or a penny a share. The main components of this loss include operating expenses of about $2.9 million and this was offset by an unrealized mark-to-market gain of about $2.1 million on our Midas shares. Our Q1 operating expenses included about $1.4 million of exploration and property expenses incurred mainly at Mt. Todd. Most of these expenses were associated with site water management and environmental monitoring. This represents about 80% reduction from Q1 2013 costs, which included water remediation in the Batman pit and work on the feasibility study. In addition to our 2013 cost cutting initiatives, we continue to identify and implement cost cutting measures on an ongoing basis. Our Q1 operating expenses also included approximately $1.2 million for corporate G&A costs. This is down about 33% from the same period last year. Here again, the effects of our cost cutting initiatives are evident. Turning to our balance sheet and liquidity, our cash and cash equivalents as of March 31, totaled approximately $7.5 million, our working capital totaled approximately $16.2 million. As we previously discussed in our last conference call, in January, we agreed with Invecture to extend the due date of their $6 million payment to us from January to July this year. Consequently, to bolster our balance sheet, in February, we sold 16 million of our 31.8 million shares of Midas Gold Corp or of about half of our position. This provided us approximately $10.6 million in net proceeds. We used $6.3 million of that cash to pay off our debt. The company is now debt free. When we arranged the sale of the Midas stock, we agreed not to sell any of our remaining 15.8 million shares of Midas for a period of one year. We continue to believe in the Midas story and consider our 15.8 million shares of Midas, that’s currently about 11.2% of the company, our core holding for Vista’s shareholders. In April, we entered into an agreement to option our interest in our Guadalupe de los Reyes project in Sinaloa, Mexico to Cangold. Cangold is a Canadian junior gold explorer. We received the cash payment of a $150,000 at closing. Cangold is now entitled to earn a 70% interest in the project, and to keep the option in good standing, there will be required to give us a series of escalading cash payments. Fred will provide more detail on this deal shortly. Looking ahead, at Mt. Todd, we’ve introduced several cost reduction programs and we are continuously alert to further cost reduction opportunities. With the wet season now behind us, we expect our burn at Mt. Todd through to our major of 2014 to come down to Q1 levels to average less than $1 million per quarter. Our 2014 corporate G&A burn rate is also expected to average less than a 1 million per quarter through the remainder of 2014. And of course we have no interest or debt repayment obligations going forward. We continue to market the mill equipment acquired from the Colomac mine in 2008, and are looking with A.M. King Industries, a world leader in the sale of used mill equipment in this process. There is a renewed level of interest in this 10,000 tonne per day equipment package, and we’re hopeful that we can conclude a fair transaction later this year. Even in the absence of a timely sale of the mill equipment payments from [inaudible], we believe that our current cash position will be sufficient to fund our operations into Q1 of 2015. That concludes my comments. Fred will now give you an update on our projects.
Fred Earnest: Thank you, Jack. Starting with the Los Cardones project in January, as Jack indicated, we extended the terms for the payment of the remaining $6 million to Invecture Group to July 31st, of this year and now expect to receive $6.25 million. We’ve been advised that Invecture has filed the application for the Los Cardones environmental prevent and that the review approval processes moving forward in a satisfactory manner. This progress on permitting demonstrates that Invecture remains fully committed to obtaining the permits for the project and is doing all in their power to achieve this objective. As indicated, on April 14th, we entered into an option agreement with Cangold Limited with regards to the Guadalupe de los Reyes Project, which allows Cangold to become the owner or a 70% interest by making cash payments totaling $5 million over the next three years. In addition to funding the project obligations during this time period, cash payments are scheduled as follows; 1 million in first year with 150,000 paid in April, 350,000 due in August and 500,000 in January of 2015; $1.5 million on the second anniversary of entering into the Letter of Intent which should be January, 2016 $2.5 million on the third anniversary. In addition, Cangold will have the option for acquiring the remaining 30% on a declaration of production decision and by paying $3 million plus a premium for additional indicated resource ounces and gold price improvements. Finally, moving to Mt. Todd, our work to obtain the approval of the Environmental Impact Statement is progressing on schedule. As I reported on the last call, as part of the EIS approval process, the Northern Territory Environmental Protection Authority has requested additional information on various topics. The field evaluation required to satisfy with the response to the last question has been completed and the associated report is being prepared at this time. We expect to be able to present the results of that study by the 1st of June and continue to believe that it is reasonable to expect approval of EIS in the third quarter. The combination of our reduced workforce in Mt. Todd and the fact that the wet season looked normal in terms of the rain received, produced fewer intense rain events with the associated site damage have resulted in significant holding costs savings at the site. We have held numerous discussions with the Northern Territory government to define a cost sharing arrangement with regards to future water management and water remediation and environmental monitoring costs. I should point out that none of our cost projections noted by Jack include any cost sharing at this point. I’m pleased that favorable progress is being made and we’re hopeful that final approvals we receive in the near future. I believe this positively reflects the government’s commitment to the long-term development of the Mt. Todd project. Looking forward, the Mt. Todd gold project is positioned quickly to move forward and improve gold market. We are undertaking a process of project review and optimization and this will continue over the course of the next several months. The approval of the Environmental Impact Statement will mark an important milestone. As you recall, the engineering studies for the preliminary feasibility study published in May of last year were completed to the feasibility studies standards except in the areas of process plant piping or instrumentation designs. Hope that you appreciate that this remaining work can be completed rather quickly thus allowing us to get new and complete our feasibility study level of financial analysis in a relatively short period of time as the markets improve. The Mt. Todd project continues to provide significant leverage to improving gold prices for our shareholders and we believe that the approval of the project Environmental Impact Statement will only add to the value created potential. In conclusion, we remain bullish in the long term price of gold and believe that this will continue to provide shareholders with exceptional leverage to improving gold prices. We are taking appropriate steps in this market to position the Mt. Todd gold project which is Australia’s largest known underbelt gold resources for development at the right gold price. We remain focused on the effective use of financial resources, and expect to continue to maintain its solid balance sheet without further dilution to shareholders. We believe that in the current market this step provides a compelling investment opportunity. That concludes our prepared remarks. We’ll now be happy to respond to any questions from participants on this call.
Operator: Thank you. [Operator Instructions]. The first question comes from Adrian Day. Please go ahead.
Adrian Day – Adrian Day Asset Management: Hi good afternoon. This is Adrian Day. Hey I was just wondering if you could say a little bit more on the Mt. Todd. I had two sort of specific questions I guess. One is how you would characterize the sort of attitude of the Northern Territory’s government are they being very cooperative and looking at cost savings and so on? Do they sort of understand perhaps of today’s price of gold this is not necessarily a project that one would want to bring into production and so they’ll cooperate? And I guess the second question if I may Fred, is on the big picture looking forward. Have you sort of given thought to how you want to go forward with Mt. Todd in terms of bringing in a partner, selling all of the project, keeping a residual interest etcetera?
Fred Earnest: Adrian, good afternoon. Thanks for the questions. In answer to your first question, we have had various discussions with not only the Department of Mines and Energy, but the minister that’s over that department and the chief minister. I think it’s fair to say that they clearly understand that Vista has made a very significant investment in the Mt. Todd project, that it has undertaken in a very responsible manner its environmental responsibilities, and the gold price that we have right now that the company has demonstrated us to advance the project and move forward. They understand clearly that price is such that the project does not meet our internal criteria for development of the project that we will have the return on investment they’d like to see. They actually understand the financial markets and the difficulty that it would be to raise the money to develop the project at this point in time. Having said that, they also recognize that the contractual liability that they have for the reclamation of the site in its current condition, and the fact that the existing condition of the site is the source of some of the water charges that we face, the Chief Minister has made the verbal for territory will provide some financial assistance and cost sharing to manage water. And to undertake remediation activities, we’ve been working with Department of Mines and Energy to define how that will happen and in the manner in which that cost will be provided. We’re waiting for response from the government right now. So I think it’s fair to say that they do understand the situation at they understand the magnitude of the investment. They would like to see just a remaining involved in the project, and if we succeed in developing Mt. Todd and are willing to put some money behind us to help make that possible. With regards to your second question thoughts for going forward, obviously in this market with the share price and the market capital that we have on capital cost have been estimated for the Mt. Todd project, this is not the time that we would consider developing Mt. Todd to go out and raise the equity portion of the project at either of the base case or the alternate case would be an overwhelming undertaking and it would result if that were to be the decision phenomenal amount of dilution. That’s not our intent that’s not our desire. We think that in an improving gold price environment that Mt. Todd’s leverage would be reflected in our share price. We also recognize Adrian, that at the end of the day, that it may be in the best interest of our shareholders to bring in a partner whether that’s as a minority or majority JV partner. And certainly I think that it would not be outside the realm of possibilities for us to consider it at the right moment, a transaction that would appropriately reward the shareholders. If the markets were determined and the major efforts to taking that there is a very large deposit in Australia that’s permitted and we’re wanting to pay a price that [inaudible] shareholders. So right now we are keeping all of our options on the table and we’re doing what we can to make sure that we preserve that opportunity and position the project to take best advantage of whatever the project offers in an improving gold price environment.
Adrian Day – Adrian Day Asset Management: Okay. And very quickly Fred, what is the annual quarterly holding cost of Mt. Todd absent any reduction?
Fred Earnest: As Jack has indicated, we expect that our average holding cost for Mt. Todd to be about $1 million quarter, higher in the first quarter just because of the wet season, and then costs are expected to decline as we go through the remainder of the year.
Adrian Day – Adrian Day Asset Management: Excellent. Thank you.
Operator: Thank you. [Operator Instructions]. Mr. Earnest, there are no additional questions on the phone lines at the moment. Please continue.
Fred Earnest: Very well. With no other questions, I would like to take this opportunity to thank everyone who has joined the call this afternoon, and we look forward to being in touch with you soon, some of you on an individual basis and others since we have the opportunity to participate in conferences or conference call in your areas. Once again thank you for joining our conference call this afternoon.
Operator: Thank you very much, sir. Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your lines and have a great day.